Unknown Executive: Good morning, everyone. Welcome to CLCT's 3Q Update Briefing. I'm [indiscernible], IR for CLCT. And with me today, we have our CEO, Gerry; CFO, Joanne; CFO, [indiscernible]; Head of IPM, You Hong; and Nicole from the IR team. For this briefing, we will start with a brief presentation followed by a Q&A session.[Operator Instructions]. With that, Gerry, please go ahead.
Kin Leong Chan: Good morning. Welcome, everybody, to CapitaLand's China Trust Business Update for Q3 2025. I'm quite sure everyone earlier been watching this U.S.-China President Trump and China's Xi coming together in South Korea. So that's actually a good way to get us started on this business update for CLCT. First, let me go to a snapshot of where we stand today in terms of our asset. Allocation by percentage of GRI, our retail allocation is now at 69.9%, about 70%. That dropped from first half where it was 70.8%, about 1% drop was because we divested this CapitaMall Yuhuating through the C-REIT securitization exercise. And as a result, of course, the other components that we went up 26.5% of GRI is in business parks, 3.6% in logistics parks. In terms of our distribution yield is now 6.2%. Our stock price have came up a bit, that caused a compression in yields. That is also reflecting some of the overall S-REIT yield compression across the board. In terms of third Q key highlights, very happy to again share that CLCT together with our sponsor, we have listed the C-REIT CLCR on Shanghai Stock Exchange on the 29th September 2025. That is China's first international sponsored retail C-REIT. It opened well. It was open trading at 19.6% above its IPO price of CNY 5.718 per unit. That is CLCR. For CLCT, of course, we seeded this C-REIT with our CapitaMall Yuhuating. And we also became a strategic investor through our 5% holding of units in CLCR. Overall, I would say that I think I mentioned before the demand for C-REIT has been, I would say, very, very encouraging. The IPO oversubscription is 254x for institutional, retail 535x. We can see that allocation-wise, we have 20% with the originating or the strategic sponsor group, of which CLCT is one of them. We hold 5%. In terms of the current -- at IPO, the DPU yield for CLCR is 4.4%. Currently, it's already traded. Currently, the IPO -- currently, the trading yield for CLCR is between 3.8% to 3.9%. During the Q, we also refinanced and issued SGD 150 million of perpetuals, right? That was also very well subscribed, at 3.4x subscription coverage. And interestingly, we also had quite a big fund manager and insurance companies allocation, about 1.5 more than of it was to institutional investors. So we successfully completed our perpetuals refinancing through this exercise. In third quarter, we also attained and maintained our 5-star rating for GRESB, while this is the third year where we have obtained our 5-star rating. So very well done to our sustainability team there. In terms of results for third Q, you can see in terms of overall portfolio, our gross revenue came down by 8%. Our NPI also came down by 8%. In terms of -- if you consider on a same-store basis, excluding our Yuhuating, that number would be basically the gross revenue drop of 3.4% and NPI, a same-store basis, drop of 4.4%. Now if you compare that to first half for our overall revenue, the drop would have -- excluding Yuhuating, the drop would have been minus 4.7% in first half. So we are talking for the -- sorry, let me take that back. Let me rephrase that. For our retail revenue -- for our retail revenue, it dropped for this third quarter, minus 1.8% without Yuhuating for retail revenue. If you compare to first half, on the same basis, it would have dropped 4.7% without Yuhuating. So you can see that actually our retail revenue, the drop have narrowed. For Business Parks, the revenue this quarter dropped by 9.1%, right, again, due to Shanghai to Singapore-Hangzhou Phase 2. The -- if you compare to first half, the drop was about minus 10%. Again, a slight narrowing of drop. In terms of logistics revenue, this quarter, we went up by about 13% compared to first half where it was increased by 2%. That was mainly due to the improved occupancy at Shanghai Fengxian. Let me add more color in terms of -- just now I talk about the retail revenue in terms and the overall revenue drop from [DPU] as well. If you look at our overall revenue this quarter, it dropped by about CNY 36 million, of which CNY 21 million came from the loss revenue from the divested Yuhuating. So that's about 58%. About CNY 10 million was from business parks due to the conditions that I have mentioned. So that's about 28% of that drop. And the rest came from what we have put here in terms of lower rents and occupancy at CapitaMall Xinnan and mini anchor tenant repositioning at Rock Square. For the Rock Square mini anchor repositioning, right, we have basically had a tenant open on 1st October. So we would -- that would go away in 4Q. It was -- that space will start contributing and that tenant is at the CapitaLand at Rock Square and the new tenant at the CapitaLand has saw good traffic and started contributing to Rock Square's numbers from October onwards. In terms of NPI, I mentioned minus 8.5% overall year-on-year. Again, very much due to the divested Yuhuating NPI loss, right? So on the same-store basis, we see minus 4.4%. And of course, there are some other factors due to the overall drop in gross revenue from other asset class, other assets like the Business Parks and some of the assets like CapitaMall Xinnan. On the other hand, it's partially offset by our cost reduction efforts of about 1.3% year-on-year on a same-store basis. The next slide, we take a look at some of the retail metrics. If you look at shopper traffic and tenant sales, third Q compared to first half or 9 months for the year, you would see that third Q actually, both on shopper traffic and tenant sales have done quite well comparatively speaking. Third Q year-on-year increase in shopper traffic is 4.5%. Tenant sales third Q increase is 3.2%, right? One of the factors is, I would say, is that some of the key sectors continue to do well. We also had the effect of better Golden Week holidays in 2025 than 2024. So for the key sectors, if you look at F&B, we are plus 5.1% year-on-year for a 9-month basis. Infotech, plus 12.8%. Toys and hobbies, again, very strong momentum, plus 56% and jewelry and watches, 16.6%. So these key sectors continue to do well, whereas maybe some of -- I mentioned before, some of the bigger ones -- bigger categories like fashion and beauty and health continue to have single digit drop in sales year-on-year. In terms of AEI, we have completed -- we have seen the contribution from CapitaMall Xuefu and some contribution from -- one thing, which I'll talk about later. But here in this slide, we just wanted to highlight one of the key growth driver for third Q, which is CapitaMall Xuefu AEI. That added 20.8% to our shopper traffic for that mall and a 24% increase for -- in terms of tenant sales in that quarter. Occupancy costs continue to maintain at about 17.7%. That's quite stable below pre-COVID levels. In terms of China's Golden Week, we saw, as I mentioned earlier, a better Golden Week than last year. So we had 4.6% year-on-year increase in traffic and about 4% increase in total sales versus the last comparative period for Golden Week last year. So if you look at retail occupancy, we have a slight bump in this quarter, right? Some of our strong malls, Xizhimen, Rock Square, Xuefu, Nuohemule basically are fully leased, and that has helped to bring up the retail portfolio occupancy. There is continually positioning for CapitaMall Xinnan, which you can see the occupancy dropped slightly. We are trying to work hard to pivot that mall to a new concept where we focus more on the IP and the anime and young to cater to the younger generation. So what we call [indiscernible], and we are seeing some progress there. But in the interim, there will be some bumps in occupancy. In terms of retail reversion, we see that we now have a retail reversion for 9 months of minus 1.5%. And these have narrowed from first half where we reported about minus 3%. And some of the reversions -- stronger reversions we see from, again, the strong categories that I spoke about, F&B, IT, toys and gifts, right? Again, the weaker reversions from fashion and beauty and health. So that's basically for retail. For Business Parks, our overall occupancy dropped by 86.9% to 85.2%. I'll explain shortly why that's happened. The Xinsu portfolio and our -- Xinsu portfolio has been relatively stable. There was a small drop due to one of the -- one tenant basically giving up the space, but we are looking to fill them. The AIT asset within Xi'an, that asset has started to basically fill the Ping An's -- fill the space that was vacated by one of our big tenants that left 1 year ago. And currently now, we have brought it from 74.6% to 75.4%. We are making quite good progress. And by the end of December, we are looking for occupancy of mid-80s, right? So we have some tenants already lined up. So we were coming progressively, and we hope that by end of December, we will be able to push it up to the mid-80s. I continue to be at the mid-80s level, 80s levels, there was some drop, but we'll try to fill in those tenants as well. For Hangzhou, Phase 1 had a small increase. And Phase 2, where we had previously shared that we have basically taken over some service office tenant space that was at about 25,000 square meters. In third quarter, we had another service office space, which, when we review our tenant portfolio for Phase 2, we found that we wanted to proactively take over that service office tenant -- to basically start to convert them into spaces that we can control directly. There was, of course, learning from the earlier exercise where we took over the space on the service office operator. We thought that it may be better that we take it over earlier, right, so that the transition if the service office operator dropped off would be easier. So that was what we did in third Q. You could see that, that caused a temporary reduction in the occupancy from 79.7% to 70.7% because the service office was about 29,000 square meters, and when we take it back, we directly signed leases with the subtenants of which about 60% of that space was leased. So that caused basically a change from a master lease of 100% to about 60% of the space being in our books being leased. We are working hard on this, and we hope to repeat the success that we have with the other service office operator that we took in. In all, we took back -- from the last round we took plus this round, we took back about, I would say, about more than 50,000 square meters of space. We now have already leased up about 67% of that space, right? So for -- in the 4Q, I think we should be able to push that Phase 2 occupancy closer to what we saw in June 2025 of the high 70s mark. For the Business Park reversion, for first half, it was minus 8%. So for 9 months, including the Q, it's minus 8.9%. So for Business Park, we continue to deploy rental incentive as a key tactic to maintain our occupancy as well as preserve our asset value in quite a challenging market in some of the business park assets. Overall, you can see that our Business Parks continue to -- in terms of occupancy, continue to outperform the submarket, Xinsu in Suzhou, of course, outperformed quite significantly about 30 bps -- 30%, but for the Xi'an portfolio, AIT and AIH, currently, it's slightly below submarket, but with the committed tenants that have signed on in October, our AIT and AIH as a cluster would have 83.9% occupancy that would have outperformed the submarket. As I was mentioning, in 4Q, we should see even more, and that should push up the whole Xi'an cluster above 83.9% in terms of occupancy. Hangzhou at 73%, it's also outperforming the Hangzhou submarket. And we should, as I mentioned, in 4Q, continue to see improvements in our Hangzhou overall business park occupancy. In terms of logistics, we're quite stable, same occupancy as June '25, 96.6%. The revisions that -- negative reversions that you see there basically is due to one of our renewal of a strategic anchor tenant at Wuhan, which was already previously reported. I will let Joanne take the capital management part before I close off. Okay.
Siew Bee Tan: On our financial position for this quarter, as you can see, the total debt has actually reduced from SGD 1.8 billion to SGD 1.6 billion. This is also actually because of the temporary use of the proceeds from the perpetual that we issued in September. That also actually brings down our gearing to 28.8%, as you can see. But we have actually redeemed the perpetual out there I think, 2 days ago. If we actually include that additional perks that we have used our loans to redeem, that gearing would have been 41.3%. On the average cost of debt in this quarter, it has actually improved from 3.42% to 3.36%. I think this is actually the fruits -- the labor of the fruits that we have actually earlier on issued CNH bonds and also all the initiatives that we have actually rolled out that at a point in time, CNH interest was actually lower and we actually benefited and that can be seen from the cost of debt this quarter. Our ICR is at 2.9x and average debt to maturity is 3.4 years. In terms of the ICR sensitivity, as you can see on the right table, on 100 basis point interest rate movement, our ICR is still at 2.3 level, which is a healthy level. Same goes for the sensitivity on the EBITDA. 10% decrease on the EBITDA, my ICR is still at 2.6x. That is way above the requirement by MAS of the 1.8x where we need to actually explain and put up some explanation to that. We also have a sensitivity in terms of the gearing on a 1% movement of the Sing dollar to renminbi, our gearing will move about 0.27%. I think this is something that we actually put out on the debt maturity profile. As you can see for 2025, we are actually pretty done. There's nothing that is due for refinancing for 2025. In fact, I think the team has actually proactively look out to actually extend our loans, and we actually work on the 2026 tower. SGD 120 million, which was actually dollar debt has actually been -- will be refied to a renminbi debt. I think we are working towards what we have actually communicated to the investors that by end of this year, we are actually targeting our renminbi debt as a total percentage of our total debt to be at least 50%. As of 30th September, we are actually reporting 45%. I think by end of the year, we will definitely be more than 50% is what we have actually started to achieve. As a percentage of total fixed to floating, we are at 80% fixed this quarter. This level is at this level because, again, for the temporal perpetual and we use the proceeds to actually pay down floating debt. I think this percentage, we will -- you will see that this fixed percentage will come up a little bit to actually benefit from the lower [indiscernible] that we are seeing right now in the current interest rate environment. And I think, in terms of the debt maturity -- debt funding mix, we are pretty well mixed. We've introduced our renminbi bond. We also have done FTZ bond and also increased our onshore renminbi loan percentage. I think that's a little bit color of the debt maturity profile and capital management. I'll hand back to Gerry to actually...
Kin Leong Chan: Okay. So thanks, Joanne. Yes. So looking forward to the fourth Q to the end of the year, some of the things that our stakeholders can look forward to. In terms of our AEIs, right, for CapitaMall Yuhuating where we transform a large supermarket area into a higher-yielding retail space overall, we have successfully leased 100% of the AEI area, right, achieving an ROI of 12.6%, very well done AEI and achieving a very good return of our investment and CapEx in this area. Currently now on 1st October, in fact, we are ahead of schedule. We were actually initially thinking that we will be only able to open the space in November, but now we have managed to basically open it in 1st October. About 14 of 27 tenants have opened, including 7 Fresh, which also when they opened, did very well, right? The remaining shops will open progressively throughout October and November, right? Our AEI area was opened right before the Golden Week period. So that has really helped to increase the shopper traffic and tenant sales at CapitaMall Yuhuating. In terms of the Golden Week performance, you can see there our shopper traffic went up by 13%. Tenant sales went up by 21%. The supermarket itself really outperformed in terms of per square foot sales versus the previous supermarket at 177x. So very efficient use of space, very good sales, right? So I would say that we are looking very good in terms of this AEI. In terms of CapitaMall Xuefu, I think last first half, we shared already about it. For our Animation, Comics and Game Street, now besides the supermarket that has opened, now the Game Street, ACG Street has now opened. This 2,105 square meter NLA where we transform it previously, again, it was part of the original supermarket. We took it back and then now transforming the Game Street. It's 100% occupied next to our B.U.T supermarket, which opened in June. This street now has 13 brands, 9 of which are introduced to the whole CapitaMalls for the first time. So these are some of the popular ACG brands where we are trying to basically build an area, which leverage and which would basically be able to attract more IP merchandising such tenants into the space, and which would attract also a different demographic, a younger consumer demographic, Gen Z demographic who are really into IP merchandising and the offerings that we are putting into this street. So if you look at the first month since the street has opened, the shopper traffic has increased by 18% year-on-year. Total rental increase that we achieved here for this share of AEI is 13.1%. In terms of how we are creating value through our strategy, we have already achieved entering the C-REIT market this year by becoming -- by listing CLCR and becoming a key stakeholder. That gives our unitholders access to the China domestic capital market. In fact, we are proud to say that we have only S-REIT or perhaps only REIT in Asia Pac that would be able to allow our unitholders access to the C-REIT market. In terms of unlocking value, we have recycled CapitaMall Yuhuating. We divested Yuhuating through C-REIT securitization at a premium. Basically, it was 8.8% premium to our announced floor price. And it was also a 4% premium above Yuhuating's 2024 valuation, right? So this, I would say, is a very good outcome. In terms of exit NPI -- exit NPI, it was a very competitive, very attractive 6.2% NPIU that we have exited at for basically Tier 2 city asset, right? This really shows how we can effectively take an asset like Yuhuating, even though it's a Tier 2 city asset, add value to it over time. We bought it maybe about 5 years ago and then be able to recycle that asset into a C-REIT exiting at a premium, right, at a good yield and then bringing back money and then being able to then find new ways to redeploy that capital. And this S-REIT connection, I think in the months ahead and the next year, we will try to continue to exploit our unique advantage and continue to see whether we have more opportunities to do such activities. In terms of extracting value, we continue to look at our AEI as an important way to drive some organic growth. So we have already announced Wangjing and Xuefu's successful completion. The next one up is Xizhimen, which we are looking forward to completion in 4Q. Currently, the AEI work is going well. The tenant is doing AEI work, which is basically 89% completed. We are now looking forward to them getting approvals to open. Hopefully, we -- by the time we get to 4Q, we'll be able to give you some good news and also some snapshot of how it's looking. In terms of capital management, we have been very proactive at that. We told our stakeholders and unitholders that we want to aim for 50% of debt being renminbi-denominated debt so that we basically have a better currency mix and asset liability matching in terms of our renminbi exposure. And we have -- basically have achieved that. We have achieved that. And by the end of December, I think you would have seen that we have made very big efforts and have successfully outperformed this 50% mark. With that, maybe I'll pass back over to [indiscernible] to take in questions.
Yu Qing Chen: Okay. Thank you, Gerry, for the presentation. Now let's proceed to the Q&A segment. We have the first question from Derek. I'll pass the time to you. Please go ahead.
Derek Tan: Can you hear me?
Yu Qing Chen: Yes.
Derek Tan: I just wanted to ask a few questions. So firstly, if I -- I'll start with retail, right? I mean your numbers, sales and traffic looks pretty okay, but your reversions are still negative. I was just wondering whether -- when should we see that turn coming in? And could you have a guidance for that? Maybe that's the first one.
Kin Leong Chan: Yes. I think I previously shared in terms of reversion, quarter-to-quarter, we are seeing plus 3%, minus 3% sort of range. This quarter was a better quarter where we had some reversions from the good reversions from some of the stronger trade cats. So we sort of basically improve on the first half. But first half, I think we -- I mentioned before, we had a mini-anchor repositioning the CapitaLand at Rock Square that basically brought down reversion a bit. And also, we were transiting from some of the higher rental EV tenants in some of our malls, some of them have basically consolidated, right? So we have to replace them with different trade cat? So that affected the reversion in the first half. So going forward, now that we have basically worked that out, our reversions will probably look at in that tight range of, I think, flat to maybe slightly negative but what we are seeing currently.
Derek Tan: Sorry, you're still looking at flat to negative. That's the guidance still at this point?
Kin Leong Chan: Yes. I think at this moment, the balance is such that there are some trade cats that are doing well. So that's contributing positive reversions. But there are also other trade cats that are doing not as well, which I've mentioned before, fashion and beauty and health. And overall, the -- while sales are -- as you can see, sales and traffic are doing well, but we are still in an environment where in terms of expanding space are being cautious, right? So it's also quite difficult for some of the trade cats to ask them for rental increase.
Hong You: Yes. Maybe just to add another perspective. I think our stronger malls are actually doing okay, do register generally flat to slight positive that we wanted. But there are also malls that have been going through repositioning, for example, [indiscernible] and I think we still continue to see a bit of adjustment there. So that's why you see as a whole, we remain cautious. The other perspective is that I think you probably are also aware that the -- for example, when people got to spend the per capita spending tend to bit more on the downside. So I think the tenants are also aware of that because they actually do give a lot of sales promotions and all that. So while sales is actually on a healthy trend, I think their profit margins are also still having a bit of pressure. So I think in negotiating with the landlord on the rental, we continue to be cautious in terms of how they actually expand. I mean we hope things will be better next year. But I think at this moment, we still would want to be guiding a bit cautious.
Derek Tan: Sure. No problem. Maybe I just want to -- it's an observation. I'm not sure whether it's the right kind of comparison. But if you compare to your peers, right, for example, people like Mix is doing pretty okay. I'm just wondering whether it's a function of the tenants or the trade cat or just maybe the positioning in the retail sector. Just wondering your thoughts on that.
Hong You: Maybe -- I mean, we can't speak as a whole, but when we actually visited some of the mixed-use properties and based on the conversation that we had, they had, I would say, some of the malls were opened in the more recent times, and their strategy would have been starting from a low base, get the mall filled up. And then as the business continues, then ramp up. I think there are certainly some effect from there. In fact, when we compare some of the malls that we are in our portfolio and similar locations, our rents are actually not lower. So from that point of view, there's a bit of a catch-up in the rent I feel from those newly opened malls.
Derek Tan: Got it. So I mean last one for retail. Your op cost, do you have an exact sense for me?
Kin Leong Chan: Yes. I think we have an op cost is still about high 17s to about 18%.
Derek Tan: Okay. Got it. Got it. Sorry, last one for me from your business park and logistics, right? I noticed that we saw dip in reversions, but also occupancy is a bit soft selected assets. So I mean, I know, Gerry, you mentioned you took back some space and you managed to work on it yourself, right? So you look at, say, going forward, right, reversions, negative, which is the one that will move into a positive territory first. So occupancy first or reversions?
Kin Leong Chan: Occupancy.
Derek Tan: So you'll be focused on occupancy going to a certain level before you start to be a bit more stricter on rents?
Kin Leong Chan: Yes. I think clearly, for the business park sector, I think everyone is almost in the same direction, us as well as other competitors. Everyone is focusing on occupancy. Just now I mentioned for our Xi'an cluster, AIT and AIH, right, we -- with some of the committed occupancy that we have already in October, as a group, we -- as Xi'an Group, it's now about 84%, right? We have brought it up in terms of committed occupancy, but we'll continue to bring it up, hopefully, to the high 80s by end of December. For Hong Kong, it's the same thing, right? Currently, maybe as a group is about low 70s. But by end of December, as we work through that those service office converted return space that we are working on directly, we should be able to bring it up -- hopefully, we'll be able to bring up to the high 70s.
Yu Qing Chen: We have the next question from [indiscernible].
Unknown Analyst: A couple of questions from me, a bit more in terms of the divestment proceeds from CapitalMall Yuhuating. So I'm just wondering what are your thoughts on conducting a unit buyback at this juncture versus carrying down debt?
Kin Leong Chan: Okay. So currently, whatever proceeds that we bring back, the likelihood that immediately, we'll probably use it to temporarily pay down debt first because that's the fastest way to use the proceeds. This, Tan can share a little bit more about timing and all that later. But in terms of the medium-term plan in terms of how to make use of -- obviously, after you pay down debt, we have a slightly better gearing headroom. I'm still looking at it together with the team. One of the options, of course, like you mentioned, is a unit buyback plan. Today, as you can see in earlier in our slide, the -- our trading is about 6-plus percent, right? Maybe give it -- it was in first Q or first Q to second Q, it was 8%, right? So if you ask me when it was first Q and second Q, 8%, there was a very strong, of course, rationale to do the unit buyback. Now it's about 6%. It's still, I would say, maybe an opportunity, but I think now we have to weigh against maybe other opportunities that may come up. And I've mentioned before the fact that I want to look at ways to continue to exploit this the C-REIT -- the Ex-rate and C-REIT connection that we have now. I believe that we are in a position where we can now actually go and look in the market, specifically at retail assets right? As you can tell, as we -- because we have sold the Yuhuating asset, we lost some income. If we can find a solid asset that basically has long-term value and at yields that are higher than our trading yield and also higher than the asset that we have divested, right, that becomes maybe another option for us to basically use our gearing, right? We could deploy into those to such a retail asset. And then, of course, continuing in the long term to have a pipeline of good retail assets, which when their value have peaked, we can then rotate them and securitize them. So that's what we are thinking through now, right, what we are looking at the market right now to see whether there are such opportunities, right? I give myself -- we give ourselves about maybe 6 to 9 months to go through the exercise, right? And we'll come back to unitholders when we have made that decision. But certainly, unit buyback is still on the table if we cannot find better use of the money.
Unknown Analyst: Got it. That's very clear. I guess it's a tangential note, given that we have potentially some lower gearing and still that $107 million worth of offshore CNY debt that is coming due next year, where do you see your cost of debt trending in FY '26?
Kin Leong Chan: Joanne, can you take that?
Siew Bee Tan: Yes. Okay. For us, I think like I mentioned earlier on, we already actually have seen our cost of debt improving for this year vis-a-vis last year. I think it's also because of the effort that we actually have achieved more renminbi loans on our book. So going forward, I think if this continues, as we mentioned, where we are actually also embarking at least 50% of books on renminbi debt. We see that the average cost of debt will actually hovers around this level. So what I want to say is that actually, we have really benefited from the lower cost of debt beginning of this year already.
Unknown Analyst: Okay. Got it. Just one last question for me, a bit more of a stupid question. But back in first half '25, we actually retained about [ CNY 1.8 million ] that was contributed by CapitaMall Yuhuating in terms of distributions. So I'm assuming that all of this will kind of be sort of returned to the REIT to form the second half DPU. And also given the cutover date of 29th September for CLCR, should we still expect any contributions from the asset for the second half sort of DPU?
Siew Bee Tan: Yes. Yes, you're correct. In 1 half, we actually retained 2Q Yuhuating's contribution. At that point in time, we're actually not very clear in terms of the regulation on what is the cutoff date of the transaction. But following on the IPO of this asset in CLCR, the initial date or rather the cutoff date has actually been confirmed that it will be on 31st March. So having said that, it means that we will not be able to actually have Yuhuating's contribution starting from 1st April onwards. So in other words, for the 2Q retention of Yuhuating will not be released back to the unitholders. And at the same time, as what we have also shared in terms of operation numbers, 3Q Yuhuating is also not inside the NPI where we actually presented.
Yu Qing Chen: We have the next question from Hong Wei.
Wong Hong Wei: This is from Hong Wei from OCBC. I just have 3 questions. So my first question is on the tenant retention. So I see that for retail, for example, the renewed leases is actually less than half of those. So just wondering how sticky are the tenants? And are these tenants churning in and out quite rapidly. So that's my first question. And the second one is that there are certain big categories that really boom a lot in tenant sales. So I think that also contributed to some of these tenant sales figures being supportive. So is this something that's sustainable? Or do you think this will come off? And closely related to this tenant sales question is, I mean, just now talk about occupancy cost. So it's come down to a level where you mentioned it's healthy. But I think Derek also mentioned and asked about the negative rental reversion. So just wondering, is 17.7% something that is going to be where you will stabilize at? Or do you think it will go up or down from here? So that's my second question. And my third question is that Yuhuating has been divested. So I think now GRA, about 70% is coming from retail. A couple of years ago, there was a road map to reduce retail down to 30%. So I mean, obviously, a lot of things have changed since then. So is there a kind of a refreshed target or road map? So that's my third question.
Kin Leong Chan: Okay. I think the first 2 questions, You Hong can take and I can take the third question in terms of strategy, I think.
Hong You: Okay. On the trade cat sales, I think, of course, different trade behave slightly differently. In terms of F&B, we actually continue to see good traction. And I think there are interesting brands that's coming up. And so on the retention side, in fact, that's also from our experience, I think for retail malls, refreshing 50% to 60% of the area brands is quite common. And if not, I think we also would run a risk of at times our shoppers getting a bit tired of the same color. So I think that churn, we are not too worried about. Indeed, it is what kind of tenant that bring in, what kind of tenant that goes out is more of a question to us. So I mentioned about the F&B. In terms of toys and hobbies, this traditionally is not a big trade category, but benefited from the likes of Pop Mart and a few other names. It did actually give us a very good sales momentum. So far, we see that trend is still continuing. IT side, I think the first half indeed benefited quite a bit from the so-called government's incentive trading program. So I think there is that benefit. And Q3, we are seeing slightly tapering down a bit. What we believe on the ground is that the training program and then the incentives are still ongoing. But I think perhaps the quotas, the timing of the voucher that's given as well as the fact that the [indiscernible], some of people would have already done their big shoppings in the first half. Q3, the effect will not be as big, but still on a year-on-year basis, it's still increment. Jewelry and sales, we still see increase. Yes. So I think if you ask me whether the sales momentum will continue to grow, I think it's still a healthy recovery and some of the rotational trade cat shift will still continue. Yes. That's the trade cat sales retention question. On the cost, from what we see, I think this is generally -- I mean, our cost is a function of rent and sales. So from that point of view, our cost will probably stabilize at this stage and then may turn out a bit if our sales continue to grow. But I think that probably will set a good momentum when I think the tenants are actually really feeling the confidence coming back and for us to actually engage them in a positive rental cycle negotiation. But like I mentioned, that hopefully would happen sooner than later in next year.
Kin Leong Chan: Okay. On the question of strategy and asset allocation, currently, we are about 70-plus percent retail. As you have noted, many things have changed versus a couple of years ago. The new economy sector, of course, have been quite in a turbulent time relatively speaking, compared to our retail, which are very defensive asset class. On top of that, we have successfully listed a new recycling vehicle, right, securitization vehicle through the C-REIT. So in our view, we want to revolve our strategy now towards this competitive and strategic advantage that we have in terms of the retail value chain, right? So I see ourselves focusing more on the retail side of the business rather than, say, growing the new economy side of the business in terms of asset allocation.
Yu Qing Chen: We have the next question from [indiscernible].
Unknown Analyst: Just a very quick one. You mentioned you want to look at China maybe potentially for acquisitions again. Can you give us some color on what's happening on the ground? Are there distressed deals? And what's the kind of cap rates for retail in the market right now?
Kin Leong Chan: Okay. I will maybe introduce this shortly, but I'll let You Hong take that question because he looks at it from an investment point of view. But indeed, I would say that we are just starting to scan the market more actively, right? I mean we haven't bought a retail mall for some time, right? But from our perspective, this asset has been a very defensive asset on our portfolio. And particularly retail malls that are more mid-market, have good traffic connections in dense residential catchment, those are the ones that in our portfolio have done well, and we want to add such assets into our portfolio if we can find them. I will let You Hong take maybe the current market conditions.
Hong You: Yes. I think the market has been, I would say, still investment market relatively soft between institutions. right? The transaction volumes, I think, has not really cut that much, especially in the retail scheme since traditionally, it was not a very big market and then it requires a lot of operation capabilities. I mean the C-REIT market has been actually active and then giving very attractive, I would say, valuations in the assets that we have sort of traded, it's giving us that about 6% exit cap that we hope to achieve. And then for first year, I think it will be one notch lower, right, close to the 5%. Whereas in the capital market side, I think things are a bit different. I would say, when I say capital market, it's more the physical institute the unblock sales market. I think generally, people -- the offer spread are still large, right? I think any buyer are still asking higher than what I've spoken about in terms of at least 1 to 2 percentage or 100 to 200 basis points, right? I think this is where things are. And I mean, we are still at early days. So we hope to come back to you.
Kin Leong Chan: So like what You Hong said, I think I'll summarize that liquidity is keen in the unblocked market, right? That's across asset class, not only retail, but retail because needs expertise tend to be blocky, chunky in terms of size, right? So that increased the level of market dislocation that we are seeing. And because now with our, I would say, superior conditions for investing in such asset, I mean, we are backed by our sponsor and our operator who have retail expertise for 30 years in China. We have proven track record of value adding to retail assets. And we now have the ability to recycle older assets into a C-REIT, helping us to achieve liquidity when we need them. We feel pretty good about trying to find opportunities under this environment of market dislocation and particularly want to focus on retail.
Yu Qing Chen: We have another question from Derek.
Derek Tan: Gerry, I just wanted to have a follow-up on the questions, right? So I mean, you have done the C-REIT, which was a great recycling avenue for the trust. But going forward, right, is that the only one that you think is most viable at this point in time? And thinking about SA you also looking at acquisitions, right? I mean my own thoughts are that your gearing at 38%, debt capacity is not, say, a lot or so. So I'm just wondering whether how should we think about your capital and the size of the deals that you potentially could look at, just these 2.
Kin Leong Chan: I think you are referring to whether Yuhuating is the only one that could potentially be injected with C-REIT. Is that correct?
Derek Tan: I think 1 year's time, they can buy, right, can buy more from you. But I'm just wondering whether at this point in time, is this the only avenue that you think is open for you for now? I'm just curious.
Kin Leong Chan: In terms of -- I think this would be a key way that we want to utilize, though it's not the only way. I mean, You Hong can share there will be -- there are third-party avenues. But generally speaking, I think valuations for the right assets, probably you can achieve better valuations through the C-REIT securitization. And of course, not everyone can basically securitize through -- as you know, it's not easy to lease a C-REIT, and we are only basically foreign sponsor who have leased a retail C-REIT on the A share, right? So we have the advantage. So of course, we want to make use of that advantage, right? So that's one. Two, I think your question of the balance sheet, right? Of course, we divested Yuhuating. Clearly, that sort of bite size of about CNY 1 billion of asset is clearly something that would be interesting that would replace sort of the Yuhuating asset size. And if we require -- if we find really fine asset, for example, that is bigger, I don't know, say, CNY 2 billion, right? We may have other ways to raise money. As I said, we are continually looking at targets where we can recycle some capital. Of course, the C-REIT is one avenue. I did mention that I want to continue to utilize that channel to basically get capital when I need it, right? So there are, in fact, something that is actively looking at. You, do you want to add anything else?
Hong You: Yes. In terms of divestment channels, I think we have, in the past, been able to divest assets to the various local institutions, right? So I would say that some look for income, right? Some look for alternative use. So in this market, like what Gerry alluded to, I think the liquidity is relatively thin. So on the alternative use, I think we are seeing buyers being generally more cautious where if they are looking for income, I think, again, in this market where the bid offer spread is still a bit wide, I still think probably C-REIT is the better option for us.
Derek Tan: Okay. Got it. Got it. Sorry. Last one for me. If you think about, let's say, your capital sources, right, that you want to tap. So I would presume that you will look at divestments first, followed by the capacity per [indiscernible] equity. So is equity something that you think you want to tap at the right opportunity?
Kin Leong Chan: I mean it's not something that we can speculate, right, by [indiscernible]. So I think end of the day, it's finding -- it's the quality of the asset that we are looking at, whether on a stabilized basis, that asset that we eventually find can justify the use of capital, right? I think that's the starting point, right? We don't find a good asset that meet all these criteria, then obviously, we won't force it.
Yu Qing Chen: [indiscernible] if you have another question.
Unknown Analyst: No, sorry.
Yu Qing Chen: Okay. Are there other questions from the floor? Okay. Since there are no questions, this concludes our session for today. Thank you, everyone, for joining, and please feel free to reach out to me or my team if you have any further questions. Thank you all, and have a great day.